Operator: Good afternoon, and welcome to Matson’s Second Quarter 2014 Earnings Call. For your information, all participants will be in a listen-only mode during the company’s presentation. There will be an opportunity for you to ask questions at the end of today’s presentation. (Operator Instructions) The conference is being recorded. I would now like to turn the call over to Jerome Holland, Director, Investor Relations.
Jerome Holland: Thank you, Janine. Aloha and welcome to our second quarter 2014 earnings conference call. Matt Cox, President and Chief Executive Officer; and Joel Wine, Senior Vice President and Chief Financial Officer are joining me on the call today. Slides from this presentation are available for download at our website www.matson.com under the Investor Relations tab. Before we begin, I would like to remind you that during the course of this call, we will make forward-looking statements within the meaning of the Federal Securities Laws regarding expectations, predictions, projections or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements, in the press release and this conference call. These risk factors are described in our press release and are more fully detailed under the caption Risk Factors on pages 8 to 14 of our 2013 Form 10-K filed on February 28, 2014 and in our subsequent filings with the SEC. Please also note that the date of this conference call is July 31, 2014, and any forward-looking statements that we make today are based on assumptions as of this date. We undertake no obligation to update these forward-looking statements, also, references made to certain non-GAAP numbers in this presentation. A reconciliation to GAAP numbers and description of calculation methodologies is provided in the addendum. With that, I will turn the call over to Matt.
Matt Cox: Thanks, Jerome. And thanks to those on the call today. Matson had another solid second quarter with our business continuing to perform largely as expected. We achieved improved yields in our core trades, and lift volume increased at SSAT. We also continue to see improvement in the results of our logistics group. Our businesses generate significant cash flow, which positions us well to fund our fleet renewal program, consider new growth opportunities, and grow our dividend incrementally, as our Board did for the second year running, authorizing another $0.01 increase to our quarterly dividend in late June. We were also encouraged to see market growth 2% to 3% return to the Hawaii trade in the second quarter. However, we did experience some market share loss in this active and competitive environment. As we’ve discussed before, historically it’s not unusual for market share to vary from period-to-period. Looking forward, we continue to believe that a strengthening broader economy will drive volume growth in our Jones Act trades and in Logistics. We expect improvement at SSAT and continued high demand for our premium expedited service offering from China. As such, our outlook for the second-half of 2014 is for ocean transportation operating income to increase from the level achieved in the second half of 2013, which was $51.4 million exclusive of a $9.95 million litigation charge, more on that from Joel later in the call. Turning to Slide 4, we show our second quarter EBITDA and earnings per share compared to last year. In the second quarter of 2014, EBITDA was $53.1 million, just below the second quarter of 2013, demonstrating the stability of our cash flow from operations. Earnings per share decreased from $0.47 last year to $0.42 in this quarter. Part of that decrease is attributable to a higher effective tax rate in the quarter as compared to last year and slightly lower operating income. When we look at EBITDA and earnings per share for the first six months of 2014, both measures declined on a year-over-year basis, primarily due to the negative timing impact of our fuel surcharge collections in the first quarter of the year. You will recall that while this impact was significant, it was due solely to the timing of collection and not the level of collections. We continue to expect to recover the shortfall over the balance of the year, and made progress on this front in the second quarter, all in all a solid first-half of the year. Turning now to our Hawaii service on Slide 6, amid the return of growth in the trade, our Hawaii container volume decreased modestly due primarily to lower eastbound backhauled freight from competitive share loss, however, yield improvements mostly offset the impact of the lower container volume. In addition, Hawaii auto volume declined by 15.5% reflecting the loss of certain customers. While we are never pleased by customer losses, we did not expect these losses to meaningful impact our financial performance. Despite the decline in container volume this past quarter, we expect our Hawaii container volume for the balance of the year to be flat or increased slightly from the second-half 2013 level. We base this on our belief in a growing Hawaii market and the expected entry of Pasha’s second vessel into the market in late 2014. With the expected increase in demand, we will continue to remain in an optimal nine-ship fleet deployment, maintaining high utilization levels for our vessels. Slide 7 details some of the key metrics of the Hawaii economy as forecast by the University of Hawaii Economic Research Corporation, or UHERO. As I mentioned earlier, we remain confident that the Hawaii economy is in a multi-year recovery, in line with forecasted state GDP growth and increased construction activity. Note that real GDP is forecast to rise significantly in the next three years, as we enter the middle stages of the Hawaii recovery, and visitor activity is expected to remain at a high level going forward. The rapid growth in arrivals is largely behind that. As we’ve profiled in detail last quarter, the next phase of growth is expected to come from construction activity. Particularly noteworthy is the forecasted double-digit growth expected in construction activity for 2014 and 2015, the center of which is construction activity in Honolulu’s urban core between downtown Honolulu and Waikiki Beach, where 15 condominium projects are in the midst of development. We would expect some additional volume to materialize as projects near completion. In addition, construction continues to progress on Honolulu’s $5.2 billion rail project. Turning to our Guam service on Slide 8, container volume remained steady increasing by 1.6% in the quarter on a year-over-year basis. For the second half of 2014, we expect the stable economic activity to continue, and anticipate modestly improved container volume compared to the second-half of 2013, assuming no new competitors enter the market. Moving to the next slide, our China expedited service continued to perform well in the challenging transpacific market with the modest improvement in volume on what is essentially 100% utilization on eastbound carriage. The chart on the upper right depicts the Shanghai Containerized Freight Index spot rates for the past five years. You can see that the industry has experienced downward rate pressure over the last two years. However, our rates continue to hold steady and achieve a sizable premium to the spot rates, supported by ongoing customer demand for our niche premium expedited service. This service remains unique in the industry, with exceptionally fast transit times, a dedicated terminal in Long Beach for efficient offloading, and superior on-time performance. Looking to the remainder of 2014, we expect run our ships at essentially full capacity and we expect our average rates to remain approximately 2013 levels. Turning now to Slide 10, SSAT contributed $2.1 million to our second-quarter ocean transportation operating income compared to $800,000 loss in 2013. The year-over-year increase primarily reflects improved lift volume and the timing of wharfage payments. With the move of our Oakland terminal operations to SSAT’s mega terminal at the end of January, the results reflect optimization of operations. We’re equally pleased to have expanded our value proposition to new customers. For the second half of 2014, we continue to expect modest profit at SSAT. Before turning to our Logistics results, I would first like to provide a brief update on the contract talks between the ILWU and the PMA. You recall the previous contract covering nearly 20,000 longshore workers at 29 West Coast ports expired on the 1st of July. Although PMA’s and Matson’s collective bargaining agreements have expired, Matson and SSAT workers subject to these collective bargaining agreements with the ILWU are currently performing their work activities while contract negotiations continue. Matson continues to expect that new agreements will be reached without significant disruption to either of its own or SSAT’s operations. Slide 11 highlights the results of Logistics. In the second quarter 2014, operating income improved by $700,000 over the prior year. The increase was primarily due to a fairly litigation settlement, warehouse operating improvements, and increased highway volume. This was partially offset by lower intermodal yields. For the second half of 2014, we expect operating income to modestly exceed 2013 levels driven by continued volume growth, ongoing expense control, and improvements in our warehouse operation. I will now turn the call over to Joel for a review of our financial performance for the quarter, and to provide our outlook for the second half of 2014.
Joel Wine: Great. Thank you, Matt. As shown on Slide 12, Matson’s consolidated operating income for the quarter was $35.7 million as compared to $36.5 million for the second quarter of 2013. Ocean transportation operating income decreased $1.5 million during the second quarter 2014 compared with the second quarter of 2013. This decrease can be attributed primarily to increased vessel operating expenses associated with reserve vessel deployment for dry-docking and other relief activities as well as increased terminal handling expenses. Also for the quarter, the company incurred $1.2 million in legal and other expenses related to the molasses released into Honolulu Harbor in September 2013. Partially offsetting these decreases to operating income were higher freight yields across all major trade lanes and lower outside transportation costs. Also, our SSAT joint – terminal joint venture contributed $21.1 million during the second quarter 2014 compared to $0.8 million loss in 2013. The increase was primarily attributable to increased lift volume and the timing of wharfage payments. Logistics operating income increased by $0.7 million during the second quarter of 2014 compared to 2013, primarily due to a favorable litigation settlement, warehouse operating improvement, and increased and increased highway volume, partially offset by lower intermodal yield. The next Slide 13 shows our year-to-date results. For the first six months of 2014, consolidated operating income was $45.6 million, a decrease of $9.6 million from 2013. For the first six months of 2014, ocean transportation operating income was $42.2 million, a decrease of $10.6 million over the prior year. A decrease can be attributed primarily to the timing of fuel surcharge collections during the first quarter, increased vessel operating expenses associated with vessel – with reserved vessel deployment for dry-docking and other relief activities in the second quarter 2014 and increased terminal handling expenses. Logistics posted solid operating income results of $3.4 million for the first six months of the year driven by a favorable litigation settlement, warehouse, operating improvements and increased highway volume, partially offset by lower intermodal yield. On Slide 14, looking at our condensed income statement, total revenue increased by nearly $4.8 million on a year-over-year while our operating cost increased 5.4%. Our net income and EPS was negatively impacted by slightly higher than normal effective tax rate for the quarter of 42%. We expect our annual effective tax rate for 2014 to approximately 40%, although we note that quarterly fluctuations above or below this percentage may occur. We generated $53.1 million of EBITDA during the quarter. In the last 12 months, we have generated $159.8 million of EBITDA, highlighting the stability of our cash flow generation. Turning to Slide 15, you see a summary of our balance sheet. Our total debt at the end of the second quarter was $379.9 million and our net debt to LTM EBITDA ratio remains very strong at 1.0 times. We continue to have excellent liquidity with $223.7 million of cash and cash equivalents as of June 30th. As we have said previously, if we did not make any strategic investments between now and when our new vessels are delivered in the third and fourth quarters of 2018, we will use this balance sheet cash plus free cash flow generated over the next four years to paid for the new vessels with any shortfall in cash being funded from our $375 million bank revolving credit facility, which has no outstanding borrowings at the moment. Under this scenario, we do not expect the need for any additional new capital raising transactions to fund the new vessel capital expenditures. Slide 16 shows the summary of how our cash flows have been deployed in the last 12 months. And on an LTM basis, our business generated $165.4 million in cash from operations. We spent $37.2 million on maintenance CapEx and $8.4 million was paid on our two new vessel contract signings. We also paid $27.7 million of dividends. The net result was a total cash increase of $84.6 million from these sources and uses over the last year. This increase in cash amount excludes the additional $100 million of cash raised from the new debt transaction that we executed in January of this year. With that, let me now turn to Slide 17 to provide our outlook on the second half of 2014. First, I would like to remind you that our outlook excludes any molasses release impact because such future potential impacts are presently unknown, and that our 2014 outlook is also being provided relative to 2013 operating income excluding the litigation charge taken in the fourth quarter of 2013. For the second half of this year, we expect ocean transportation operating income to be significantly higher in the 2013 level, a $51.4 million excluding litigation charge, driven by flat to slightly higher Hawaii volume, recovery of the fuel surcharge shortfall that occurred earlier in the year, modestly improving volume in Guam, flat volume and freight rates in China and modest profit at SSAT. We also expect to operate a core nine-ship fleet throughout the year, and also expect to benefit from improvement in our South Pacific trade lane. For Logistics, we expect second half 2014 operating income to modestly exceed the 2013 level of $3.6 million driven by continued volume growth, expense control and improvements in warehouse operations. With that, I’ll now turn the call back over to Matt.
Matt Cox: Thanks, Joel. I want to conclude with a few high level comments. Matson became a standalone public company two years ago. Since then, we’ve made considerable progress on several strategic fronts. We strengthen their balance sheet, adding longer-term money at an exceptionally attractive rate. We committed to build two dual-fuel LNG-capable Aloha class containerships that upon delivery. We’ll give us compelling operating and cost advantages. We have improved the financial results of our logistics unit by taking critical but necessary steps, primarily in our warehouse unit and in our cost structure. At SSAT, investments in the Oakland terminal are now beginning to bear fruit. And we have increased our dividend by over 13%. These results reflect the hard work of the entire organization. Every employee has been part of this process and I’m part of the reference as we have made this transition. Looking out, we continue with confidence. Growth has returned to the Hawaii market with a construction cycle poised to drive additional container volume. In Guam, stable economic activity provides us incremental opportunities for modest growth. Our China service continues to be in high demand. And our Logistics and SSAT performance continues to improve. With our operations on track we will continue to generate significant cash flow and this cash flow allows us to fund our fleet renewal, return capital to shareholders, and pursue investment opportunities with conviction. And with that, I will turn the call back to the operator and ask for your questions.
Operator: Thank you. (Operator Instructions) And our first question comes from Steve O’Hara with Sidoti. Please go ahead.
Steve O’Hara – Sidoti: Hi, good morning.
Matt Cox: Hi, Steve, how are you?
Steve O’Hara – Sidoti: Good, I guess, just in terms of the cacao development, I mean, it seems like the housing construction seems to have rebounded in Hawaii. The economy appears to be improving pretty well. I mean, in terms of – how does that translate to your business over, let’s say, the next three years in terms of containers and maybe where you see your market share going with the new competitor coming in? And potentially what that means for maybe some of the other players in the market as well?
Matt Cox: Yes, that’s a super, easy to answer question, Steve, but I’ll give it a try, I mean, I think as I said in our prepared comments, I think we feel good about the overall growth prospects in Hawaii. We can’t put existing brackets on it. We mentioned 2% to 3% growth for the balance of this year or in the second quarter. We do expect that growth to accelerate a bit, exactly where it is, it’s hard to know, but we do expect reasonable growth. And in the Hawaii market, 4%, 5% is considered fairly good growth number so, without putting a specific point on that, we do expect the growth levels we saw in the second quarter to accelerate over the next few years, bounded by the rail project, general economic activity, and, of course, the cacao development that’s underway. There is also a number of hotels, business is picking up on the neighbor islands. So just lots of data points all indicating pretty good growth. The question about the competitive landscape, we did note in our comments that we watched a little bit of market share primarily in eastbound backhaul segment. We do – I would say absent the Pasha entry, which I will describe in a moment, Matson’s market share has bounced around a few points but is remained steady overtime. We do expect a loss of some cargo when Pasha introduces its second vessel. We expect to lose some market share. I would expect Horizon to lose some business as well. Exactly where that settles out is unclear. We have said that second Pasha vessel as between 5% and 10% of capacity, container-bearing capacity to the market and in a relatively robust, at least by Hawaii standards, growth environment, we think, over a few year period that capacity could be observed. We’ll have more precise comments as we move forward and make comments into 2015. But that’s – that is good as I can answer the question at this point.
Steve O’Hara – Sidoti: Okay. And then, I mean in terms of deploying cash to shareholders, you just raised the dividend. I mean, is there a preferred method going forward or do you just kind of evaluate it as you go? I mean, it sounds like you are thinking about – or there is a potential for some deposits into the CCF, I guess, as well?
Joel Wine: Yes, it is Joel. I’ll take that one. We continuously evaluate the cash flow uses, both for return to shareholder purposes as well as internal investment purposes and you referenced the dividend, we watch a dividend closely and we don’t have specific finite defined ratios that we hold ourselves to, exactly but what we do is look at our expectations of future multiyear cash flow generation, and make sure that we sized the dividend accordingly, so that we can feel very good, from a conservative perspective, that we’ve got plenty of strong cash flow cover it. And our goal over time is to gradually slowly, judiciously increase the dividend commensurate with growth in cash flow. I mean, our focus is growing the cash flow and so the dividend should trail that, as we see. But we look and think about all these things on a forward looking basis based upon or we expect to have in the future with obviously a conservative bent.
Steve O’Hara – Sidoti: Okay. And then just one more, if I could, if you make a deposit into the CCF, how does that work for current taxes?
Joel Wine: So, the way CCF works is, as long as you – anything you deposit up until you file your federal return can be used to reduce cash taxes in that federal term period. So, as an example, last year, we deposit in September of 2013, just before we filed our 2012 federal return so, that did help to reduce cash taxes for our 2012 cash payment period of time. So, as you move forward here into 2014, we’ve been planning and making estimated payments based upon our expectations for profitability of the business as well as expected deposit in the CCF so, the answer to that is yes, it is helping us decreased the amount of cash taxes we pay in the current period of time, but we’ve also said, Steven, that we can’t shield all tax payments because, at some point, you get down to the AMT level and you have to make payments based upon AMT. So, what we do is look at how much CCF we can deposit the shield tax and deferred tax down to that AMT level, and deposit, try to deposit right at that level. So we are going to that same exercise and similar to last year, we would expect a significant funding in the CCF to happen before our federal returns are filed and we’re working on what that amount will be – last year’s amount was $113 million deposit, but it was down on a non-cash basis through receivables facility program that we utilized so, we’ll continue to look for non-cash ways to do that, but we will also deposit cash if we need to benefit for the tax deferral.
Steve O’Hara – Sidoti: Okay, thank you.
Joel Wine: Okay, thank you.
Operator: The next question is from Ben Nolan with Stifel. Please go ahead.
Ben Nolan – Stifel: Yes, thanks. And I guess my first question relates to something that we’ve sort of been hearing just in the market among some of the other transportation guys that especially as it relates to the West Coast that there had been some operators that had had cargoes pulled forward into the second quarter from the third quarter, as people were trying to mitigate the risk of potential delays as a function of potential strike on the West Coast. Did you guys see that at all? Do you think that any of your cargoes in the second quarter were the result of cargoes pulled forward from the third or is it so de minimis that it probably didn’t do anything at all to the numbers?
Matt Cox: Yes, this is Matt. I think we had discussions with a lot of our customers took different approaches, some trying to advance a few bit of shipments; others deciding that they didn’t need to. The reality is – is there’s very limited storage infrastructure in Hawaii and it limits the ability for that to occur. And so, I think we might have seen a few customers to a little bit of it, but certainly, we didn’t feel it was a significant driver nor that we see it as a significant detriment to the third quarter as everything has – will have been overstocked and will be feeding off those supplies. So, it really wasn’t a major factor, either from the second or third quarter.
Ben Nolan – Stifel: Okay. That’s helpful. And then, Joel, maybe for you, you mentioned that the tax rate was a little bit higher; I think you said 42% in the quarter. I mean, is that – what was sort of the driver behind that? Is it just one of those kind of things where from time-to-time, it can bounce around depending on the timing of revenues and what have you, I mean, what was going on there that pushed it out?
Joel Wine: It can bounce around and fluctuate a little bit, a couple percentage points. What this quarter was, was a final – we did a final true-up two years post our spinoff. And so that affected by a point or two so that was the biggest item that happened in this quarter.
Ben Nolan – Stifel: Okay. But still 40% is the run rate that we should be using? Is that?
Joel Wine: Well, we still believe on a normal basis, it would be 38.5% that because we had something this year to lift itself a little bit, that’s why we’re updating you and our outlook for this year we are saying 40%, because there was something that occurred that’s going to lift it for this year. But ongoing in terms of long-term thinking of 38.5% still should be the norm most years, year-in/year-out.
Ben Nolan – Stifel: Alright, perfect. And then lastly – and I know you guys are pretty limited on what you can and like to say about it, but as it relates to the molasses bill last year, I know you can’t say a lot. But at least do you feel like you’re coming to, or getting meaningful closer to sort of the light at the end of the tunnel in terms of a resolution as it relates to that event?
Matt Cox: Yes, Ben, this is Matt. I – what I can’t say is – it’s hard to know we are continuing to collaborate and provide information to various federal and state agencies or investigating a matter so, we can report that we are continuing to provide information to them. They are conducting their investigation. It’s – that the time and inclusion of that is up to them, so it’s a little hard to handicap. But I can’t say that we continue to cooperative provide information.
Ben Nolan – Stifel: Okay, alright. Very good. That does it for my questions. Thanks a lot, guys.
Matt Cox: Okay, thanks, Ben.
Operator: And the next question is from Kevin Sterling with BB&T Capital Markets. Please go ahead.
Kevin Sterling – BB&T Capital Markets: Thank you. Aloha, gentlemen.
Matt Cox: Hi, Kevin.
Joel Wine: Hi, Kevin.
Kevin Sterling – BB&T Capital Markets: In Hawaii trade lane, you talked about your eastbound cargoes and volume being down because of pricing. Are you letting some business walk or is it just the pricing just getting so squirrely it’s – you’re really just losing a profitability, how should we think about that? And do you think that will continue?
Matt Cox: Yes, it’s a good question, Kevin. I think the way that eastbound trade is now one thing, it’s 20 different things and some of it moves on annual contract, some of it moves on the shorter duration contract, some of that moves seasonal as it relates to various military household good move cycles and other kinds of things. I think what we feel like is that we did lose some freight eastbound, this backhaul cargo. Overtime, we do expect that to stabilize and Matson will not stand idly by and have its share impacted. So, yes, we’ve been pretty good over time at being able to get to the cargo we want on the vessel.
Kevin Sterling – BB&T Capital Markets: Right, okay. No, but yes, you guys do have a good track record of that. And so – and going forward too I think autos were a little soft in the quarter. Is that just seasonality? I know sometimes it can be due to the timing of the car rental business. How should we think about that?
Matt Cox: Yes, in two ways, you’re right in pointing out that there is a seasonal impact, but we and so, quarter-on-quarter and how the holiday falls do impact that. We also did note that we have parted ways with a couple of customers and we also noted that loss of volume will not really meaningfully impact our profitability. So it had gotten to a point where the margins were so thin on that business that it was one of those things that we just needed or get a rate increase or depart ways with that cargo. So, there’s a little bit of both going on, Kevin.
Kevin Sterling – BB&T Capital Markets: Got you. And Matt, let me – maybe even taking a little bit deeper, because I followed you guys for so long, you have such a great track record of service and everything. Do you – does history tell you when sometimes the pricing gets very competitive, you let the low margin business walk, but the customers come back to you because of your service levels, you guys have a very good service level. Do you see that happening, you know, with the customers maybe intentionally left for price, but realized, well, they’re not getting the best service, and they eventually make their way back to you?
Matt Cox: Yes, it’s a good question, for us, Kevin, every bit of freight is important to us, but if we are going to lose freight, it’s going to be the freight that has the lowest margin or lowest yield or is the most expensive to carry relative to the market freight rates, might be a better way to put it. So, we do have the ability deciding or at least being able to influence what freight, to the extent that it is impacted gets managed off the vessel or that tends to be most price sensitive cargo and we’re because of the commodity nature or whatever the dynamics are, that a small amount in the freight rate change will attract a movement of that freight. But again that tends to be least remunerative for us.
Kevin Sterling – BB&T Capital Markets: Okay. And I’m looking at China, the jury index I think it was down like 13% during the quarter. How did you guys fare on pricing? I know you tend to price a little bit better because of your service and expedited service. Just if you could maybe directionally tell us or give us some numbers around how you fared in pricing in the China service?
Matt Cox: I can’t, Kevin, I think what we’re seeing is a remarkable stability in Matson’s China freight rate driven by significant demand and we – even in despite this choppy transpacific market, we are still, every week managing cargo off our ship and other words, what cargo – there is more cargo demand every week for our vessel then there is a space in order to carry it and so that gives us the ability to be not impacted or less impacted in this market specifically or especially from reductions in freight rates. Now, I would say when we get into the slack season, and right after Lunar New Year or after other holidays, the freight volumes can – but those are just a few weeks a year where we feel like we need to change some pricing temporarily, but it’s – again, it’s just a testament to the underlying demand that customers are willing to pay and we’re less impacted by those spot rates.
Kevin Sterling – BB&T Capital Markets: Got you. Would you consider introducing another vessel into that trade, given how strong demand is.
Matt Cox: Yes, the reality is that in order to add capacity, you need to add five more vessels. In other words, we’re in a five week in a 35 day round trip voyage, so we have data to weak departures and arrivals. So, adding a sixth vessel to that fleet doesn’t do much more because customers want that weekly schedule so, we almost have to add another string of five. And we need in order to replicate our economics we’d need five more Jones Act vessels. So it’s difficult for us to add capacity that would be meaningful in this trade.
Kevin Sterling – BB&T Capital Markets: Okay, got you. That’s all I had. Thanks so much for your time today. Really appreciate it.
Matt Cox: You bet, Kevin.
Operator: The next questioner is Jack Atkins with Stephens. Please go ahead.
Jack Atkins – Stephens: Great. Thanks for the time, guys. I appreciate it.
Matt Cox: Hi, Jack.
Jack Atkins – Stephens: So, I guess just to start off, going to – going back to the guidance or framework for the second-half of the year that you guys laid out, and I know you probably can’t be more specific than you already have, but I need to ask the question. You talked about ocean transportation operating income being up significantly from the level last year in the second half of the year, I think it was $51 million, I guess – help me understand what does significant mean in terms of order of magnitude? I guess, when I think about it, oftentimes my version of significantly differs from my boss’s version of significantly during bonus season so, I just want to make sure everybody is on the same page.
Matt Cox: Yes, I think – I can help you with that term because we’ve also said, Jack that we expect full year operating income to be near or slightly above the prior level of $104 million. So, I think – we understood that we wanted to help frame what we felt that meant, I mean, we’re getting away from specific guidance, but that’s directionally where we think it’s going to end up.
Jack Atkins – Stephens: Okay. That makes sense. I missed that part. I know that’s what you said in the past. I just wanted to make sure if it was similar. So it sounds like the commentary for the second half of the year is similar to what you guys have been expecting all along. Is that fair?
Matt Cox: Yes, it is correct. For the whole year, it’s what we said before, and that’s in the release.
Jack Atkins – Stephens: Okay. Yes, yes, yes. Okay. And then in terms of just the growth that you are seeing in the broader Hawaii market, I know that you lost some share on the eastbound, but – and you guys don’t typically talk about the westbound volumes, but could you maybe just give us directionally – did you see growth in westbound because I know that’s the more important lane for your business in terms of profitability. Did that reflect more of the growth that you saw in the underlying Hawaiian economy versus maybe the statistics that we see in the press release?
Matt Cox: Yes, we didn’t see growth in the broad market, the entire market, of that 2% to 3%, Jack that we had been waiting for and calling out. And previously we had discussed this well. We’ve gone now a quarter, and we are beginning to see what we expect to be a several year period of growth and that was 2% to 3% that was primarily directed towards the westbound market in the second quarter. So, we were encouraged by that. While we did lose some share, we are encouraged by what we now think is, are the beginnings of this – of the growth in the market.
Jack Atkins – Stephens: Okay. Okay, so just so I’m understanding you correctly, the – your growth rates in your own westbound service mirror the growth rates that you’re seeing in the industry westbound service. Is that – am I putting words in your mouth here? Or is that – am I hearing you correct?
Matt Cox: You are putting words in my mouth so, we did not comment on what the westbound numbers were, Jack.
Jack Atkins – Stephens: Okay, okay. Alright. That’s – okay, got you. And then last question from me. On the Logistics business, I know you have a truck brokerage offering and I know it’s been an area of investment and growth for you there, as you build your agent base out. Could you maybe comment on just the overall market dynamics there because I know it’s been a relatively strong truck brokerage market in general for the last couple of months? Would you expect that to be a tailwind for profitability in that particular piece of your business for the remainder of the year or, I guess, how are you thinking about that?
Matt Cox: Yes, that’s exactly how we’re thinking about it. We’ve seen terrific progress in our agent model. And you know, in our truck brokerage business, we have both models. We have an agent model and we have an in-house model, we’re seeing growth on both sides of that business and we expect that kind of growth to continue. We’re encouraged by it.
Jack Atkins – Stephens: Okay. Well, great. Thanks again for the time, guys.
Matt Cox: Sure, okay, thanks, Jack.
Operator: And the next questioner is Michael Webber with Wells Fargo Securities.
Michael Webber – Wells Fargo Securities.: Hi, good morning guys. How are you?
Matt Cox: Good morning, Mike.
Michael Webber – Wells Fargo Securities.: Just a couple follow-ups, I know you referenced in your prepared remarks and in one of your answers is the drop in auto volumes related to some key customers and that business is getting more competitive. Is that something that you guys think could on the margin continue through the back end of the year especially considering that there is some auto volume side of that Pasha vessel or is that – I guess what specifically went into that pocket of business that would maybe keep that as an isolated business – an isolated incident?
Matt Cox: No, I do think that some of the elements, some of the 15.5% reduction is based on customer losses and we expect that element of the losses to continue so, I would expect that – if you look at the manufactured car business, we would be down year-over-year. And again, it’s customer specific and the customers that we’re parting ways with, we have the least amount of operating margin, and the business got more difficult to justify. So, that’s why we’re seeing that it’s going to have less or negligible if any impact on our operating results. We do expect the car business – we’re in the car business for the long-term, we expect to continue a significant part, but we have to make an acceptable return on that business. And that’s the process that we’re in the middle of now. So, I do expect that we will – that some of the car volumes that we saw in the quarter would continue to do – to be lower in the second half of the year.
Michael Webber – Wells Fargo Securities.: Got you. Okay. So some kind of minor margin slippage in some of the business and that should bleed through to the back half of the year. But – okay, I think I got it. In terms of – actually, just to back up here and just to talk about molasses because I have to ask a question about each quarter – and I know you guys can’t give a whole lot of color on it, but in terms of just – in terms of your all process and what you’re hearing, do you expect there to be any incremental data point down the line that you can get out to the market or is this the scenario where we are just going to wake up one day and here it is? Is there some sort of process in place where you could just start disseminating information at some point?
Matt Cox: Well, where we are now is waiting for the various state and federal agencies to complete their investigation. So, we’re not in control of that timing. We continue to provide information as I mentioned in the fully cooperating as they conduct their investigations and again it’s difficult to impact the timing. So, when that process concludes, then I assume we will be sitting down and talking with them and beginning our process, but when that is and when they complete that is really not up to us.
Michael Webber – Wells Fargo Securities.: Okay. Okay, I can follow up off-line. And then I think probably every quarter – maybe it’s something that you guys typically get questions around the Alaskan trade and areas of expansion, and then other areas of the Jones Act. And I know you guys are pretty opportunistic and there is some certain hurdles into moving into that Alaska trade that you wouldn’t want to ruin the trade and obviously, the Jones Act spaces are a bit different than what you’re doing now. But when you’re looking at those new growth opportunities and maybe, Matt, this is quarter-over-quarter or year-over-year. Is there a rate of – is one getting a bit more likely than the other relative to where you’ve been? Are you incrementally more likely to think about doing something else in the Jones Act space because you have a strong platform and a currency you can use or are you getting incrementally closer, do you think, to maybe booking Alaska?
Matt Cox: Well, the way I would answer that, Mike is to say and we said this before, but we’ve evaluated going in with some surplus Matson vessels, we’ve determined that is not an approach that would make money for Matson given the nature of those markets. Once we foreclose that or not completely foreclose it, but determine that it was not feasible for us economically, we have made clear to the market that if one of the two encumbered operators were for sale, we certainly would be a willing buyer, and be willing to pay a fair market price for that asset. We see it is highly complementary to Matson’s other specific businesses and so, where others are on that process is really up to them and hard for us to comment on. But certainly if that would be available we would be a willing buyer for that business.
Michael Webber – Wells Fargo Securities.: That’s fair. And then other Jones Act space?
Matt Cox: Yes, I mean, what we said is on other Jones Act is, we are very comfortable with the Jones Act, and so investment in other categories of the Jones Act, we wouldn’t shy away from that. We would be comfortable under that. But, of course some categories are far feel from what we did today and some are much closer. So, broadly speaking, could our company overtime add additional Jones Act platform, the answer is yes, but there is no prioritization of that or I should say timetable of that, or that’s got to be our priority this year or next year, et cetera. Mike, it’s just something at the Jones Act operator, we are comfortable making investments under that space. So, we wouldn’t and there, that Jones Act and then all the rest of it is would be typical M&A and investment prioritization which is investing something that we could make a difference in the business. We can get better synergies and others. It fits our operating strengths or customer strengths, or there’s some rationale to it. So in that regard, it would have to fit all the normal criteria for investment. But broadly, we are comfortable in Jones – we’re broadly comfortable in Jones Act as you know.
Michael Webber – Wells Fargo Securities.: Got you. So there is still possibilities but maybe not incrementally closer now than they were maybe 3 to 6 months ago?
Matt Cox: We don’t want – I mean, I wouldn’t say that, we’re not saying that. So, we wouldn’t want to comment on where anything in the Jones Act otherwise, but we’re trying to share with how we think about those opportunities.
Michael Webber – Wells Fargo Securities.: Yes. No, I know, I got it. Appreciate your time. Thanks, guys.
Matt Cox: Okay, thanks, sure, Mike.
Operator: The next question is from John Mims with FBR Capital Markets. Please go ahead.
Chris Carione – FBR Capital Markets: Hey, guys, this is Chris Carione for John. Appreciate the time. Just going back to Logistics operation, just kind of given the strength that we’ve seen in the brokerage markets over the first half of the year. And I’m just looking at the guidance for the second-half – is that guidance just based on kind of the continuation of the trends that we are seeing currently, sort of rate pressure and intermodal and just continued strength in the highway operation or is there something else going on there that kind of drives that outlook for the second half of the year?
Matt Cox: Yes, Chris, those two things that you just mentioned, plus ongoing improvements in our warehouse operation that are going – that are continue to drive that performance in the second half of the year. Those same dynamics that we see occurring in the second quarter, we expect into the second half of the year.
Chris Carione – FBR Capital Markets: Great. And do you see those warehousing improvements continuing beyond the second half of the year or you kind of squeezing out all of the improvements that you can or starting to get to that point? Or is this sort of a longer-term process?
Matt Cox: Well, for us, the way I would answer that is generally is to say our goal would – was to turnaround our warehouse unit, which had excess warehouse capacity as we went through the economic downturn. We’ve done a lot of work and resizing our warehouse portfolio to match our current level of demand. We would be delighted and expect overtime that as we find other warehouse opportunities, we would look to expand at line of business so, that if we would find a new piece of business and found a warehouse space that would match the customers commitment that we would certainly be looking at continuing to grow and half of our basis where we had these core competencies. So, yes, we do see it as a line of business that we want to grow. Now, candidly, with each of our lines of business in Logistics, we all think they are good, they are valuable and all we think over the next few years we’re going to see organic growth in each of those lines of business including the warehouse business.
Chris Carione – FBR Capital Markets: Yes. I’ve got it. No, that makes sense. And then just one quick question here and I’ll turn it back over. With the mission regulation kind of looming 2020, I was just wondering how you are or if you are thinking about additional vessel announcements over the next few years here? You know, understanding that the two are coming on in the next couple years already.
Matt Cox: Yes, we – Chris, we with the two vessels we announced last year we will be fully compliant with the 2020 regulations when those vessels could delivered in 2018 that is – we will have retired or taken out of active service, all of our stream vessels and all of our vessels will then be a 100% compliant. We also are looking at whether we want to take some of our old platforms as the reserved vessels and re-engine one for dry dock or – but we’ve made, we think that with – those will represent relatively modest amounts of capital relative – certainly relative to new tonnage. But we think that with the delivery of these two vessels in 2018 that will be in great shape and fully compliant with the ECA regulations, the Emission Control Air regulations, that will be implemented in 2020.
Chris Carione – FBR Capital Markets: Great, okay, makes sense. Well, I appreciate the time.
Matt Cox: Okay, thanks guys.
Operator: The next questioner is a follow-up from Steve O’Hara with Sidoti. Please go ahead.
Steve O’Hara – Sidoti: Hi, thanks for taking the follow-up. I guess just in terms of the peak season, maybe what you’re kind of baking into your guidance or your outlook here for a peak season and maybe what – maybe versus last year. And then how – what type of visibility you have in the peak right now.
Matt Cox: Steve, with regard to your question about peak, you’re talking about transpacific trades or U.S. domestic trades or Hawaii or all of the above or…
Steve O’Hara – Sidoti: I guess all of the above.
Matt Cox: Yes, I think then, we expect the – each of the peak well, first of all in Hawaii, we do expect a traditional peak season which is second and third quarters being our strongest, that’s overlaying that is in an improving or accelerating trend in westbound freight as we described related to construction activity and other economic driver so, we do expect a more traditional peak with a little bit of a kicker in Hawaii. With regard to the transpacific or the U.S. domestic peak, we’re not expecting much of the peak. We think it will be – it will be relatively modest, not much of a peak, it won’t drive a significant amount of peak pricing so, our expectations are relatively modest those expectations have been built into our outlook for the year.
Steve O’Hara – Sidoti: Okay, alright. Thank you very much.
Matt Cox: You bet, okay.
Operator: I’m showing no further questions in the queue and I would like to turn the conference back for any further remarks.
Matt Cox: Okay, well, thanks everybody for your interest. We look forward to catching up with everybody in the next quarterly call, Aloha.